Operator: Good day, ladies and gentlemen, and welcome to the Q4 2015 Sealed Air Earnings Conference Call. My name is Mark and I'll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Lori Chaitman, Vice President Investor Relations. Please proceed ma'am.
Lori C. Chaitman - Vice President-Investor Relations: Thank you and good morning, everyone. Before we begin our call today, I would like to note that we have provided a slide presentation to help guide our discussion. This presentation can be found on today's webcast and can be downloaded from our IR website at sealedair.com. I would like to remind you that statements made during this call stating management's outlook or predictions for the future are forward-looking statements. These statements are based solely on information that is now available to us. We encourage you to review the information in the section entitled Forward-Looking Statements in our earnings release, which applies to this call. Additionally, our future performance may differ due to a number of factors. Many of these factors are listed in our most recent Annual Report on Form 10-K and as revised and updated on our quarterly reports on Form 10-Q, which you can also find on our website at sealedair.com. We also discuss financial measures that do not conform to U.S. GAAP. You may find important information on our use of these measures and their reconciliation to U.S. GAAP in the financial tables that we have included in our earnings release. Please note that we will end the call by 11:00 AM today. Now, I'll turn the call over to Jerome Peribere, our President and CEO. Jerome?
Jerome A. Peribere - President and Chief Executive Officer: Well, thank you, Lori, and good morning, everyone. I am proud to report on behalf of all Sealed Air employees that for the third consecutive year we executed on our commitments and delivered financial and operational improvements. We stayed focused on our objectives and our three division and functions performed extremely well. For the full-year 2015, we delivered 3% organic sales growth with favorable price mix in every division and in every region. Adjusted EBITDA margins expanded by 230 basis points. Our productivity metric, which is the ratio between our operating expenses to our gross profit, improved from 65% in 2014 to 60% in 2015. And if you look at our operational results excluding FX and the impact of 2015 divestitures, our net sales increased $217 million and our EBITDA increased by $212 million. That is impressive and something to be proud of. Our free cash flow in 2015 was $595 million, which excluded $184 million in CapEx, which included – sorry, $184 million in CapEx and $98 million in restructuring. And we returned $802 million to shareholders through share repurchases and still have $884 million remaining under our current authorization. Our Get Fit and Change the Game strategy is well under way and you can see the financial benefits from Get Fit programs over the last few years. Some of our Get Fit successes include a tight control and strategic alignments, pricing discipline, targeted R&D investments, gross margin expansion, productivity improvements, and working capital management, and there is still a lot to be done. In Supply Chain, for example, our Get Fit efforts are changing and simplifying how and where we operate to deliver improvements in cost of goods sold, cash management and service. Over the last 24 months, we have consolidated 9% of our total facilities, with another planned incremental reduction of 5% over the next 12 months to 18 months. We have reduced our total active SKUs by 30% since 2013, and we will continue to optimize SKUs going forward. In the past two years, we have been able to cut our cash conversion cycle by a third, largely through better management of payables and receivables. We have clear targets and will continue making progress in 2016 and beyond with a more concerted effort on inventory management. Our ongoing commitment to continuous improvement will ensure that we are consistently realizing operational efficiency. This is the power of being and staying focused. And believe me, our Get Fit program has many more good days ahead. At our Analyst Day back in June 2015, we provided a detailed investment plan for Change the Game. Our early successes validate the long-term potential of these growth opportunities. In Food Care, for example, demand for Darfresh on Tray in Europe has exceeded our expectations, and our rollout in North America is up to a very solid start. Our recently introduced barrier technology, OptiDure, is also seeing similar market acceptance in Europe, and there is already meaningful interest globally. In Diversey Care, the acquisition of Intellibot has given us first-mover advantage in the robotics flow care equipment market. We are also delivering on our commitment to bringing sustainable solutions to hygiene industry with our 100% biodegradable plant-based SURE solutions and there are more solutions like this under development. And in Product Care, our automated solutions including B+ and FloWrap are gaining traction and positioning us as our customers' trusted consumable and equipment partner. We will execute in 2016 with the same mindset as in 2015. We will deliver profitable growth and maximize free cash flow by focusing on execution and operational excellence. We will stay disciplined on our value-added selling approach and we will continue investing in next-generation, disruptive technologies. And before I get into the details of our results, I want to highlight something that I am very passionate about. And that is sustainability being at the service of financial performance. Companies with sustainability at the forefront of what they do every day are long-term financial winners in tomorrow's world. At Sealed Air, sustainability is at the very core of what we do, how we innovate and how we invest. As such, following the COP 21 agreement in mid-December in Paris, we joined the group of companies who clearly wanted to commit. We pledged to disclose both the total financial impact and the environmental benefits of all new product introductions to our customers. Proving our leadership, we were recognized for the second consecutive year by CDP for our sustainability efforts and have been awarded a position in CDP's climate indices which puts us in the top 10% of global S&P companies. We were listed in CDP's Supplier A lists, and received 100% disclosure score compared to an average of 84% for the other companies reporting. With that said, let me turn to our fourth quarter and year-end results by region and by division, and then I will pass the call to Carol for more details on our financials, including our outlook for 2016. On slide four, we present our performance by region for the fourth quarter. Net sales of $1.75 billion, were up 2% on an organic basis, which excludes currency and the Food Care divestitures in North America and in Europe. Let's start with EMEA. We delivered 3% organic growth in the quarter with favorable trend in some of our largest Western European countries and continued growth in Russia and Turkey. These results were achieved despite anemic GDP growth throughout Europe and a slowdown in emerging markets. Our performance in EMEA is a direct result of our pragmatic decision to realign our organizational structure, enabling our divisions to be well positioned to capitalize on growth opportunities. In North America, organic sales were relatively flat, with 5% growth in Diversey Care and a slight increase in Food Care, offset by a decline in Product Care. Asia Pacific was also relatively flat compared to last year. We experienced 2% to 3% constant dollar growth in Australia and New Zealand, which was offset by some softness in China and other Asian countries. Australia and New Zealand combined account for approximately 6% of our net sales, and China approximately 3%. Latin America was hit the hardest with currency devaluation, declining 18% on an as-reported basis and increasing 7% in constant dollars. Constant dollar growth in Argentina, Mexico and Brazil were attributable to increased demand in our Food Care business. These three countries combined account for about 7% of our total net sales. And as presented on slide five, the trends we experienced for the full year are consistent with the comments I just provided for the fourth quarter. We delivered $7 billion in net sales, an increase of 3% on an organic basis, with growth in every region. On slide six, we outline our price mix, volume, and sales trends on a constant dollar and organic basis. We had favorable price mix in every region throughout the year, with the exception of North America in the fourth quarter. We are pleased with this performance, given the declines in resin and our formula pricing structure in our Food Care business. Our results demonstrate the rate of adoption of our advanced portfolio and how our customers are clearly valuing our offering. At Sealed Air, everything we do and everything we bring to market not only meet the highest criteria for sustainability requirements, but is designed with the most advanced technologies to help our customers improve productivity and save cost. That is an attractive value proposition in today's global economy. Turning to our performance by division, on slide seven, Food Care sales increased 3% on an organic basis in the fourth quarter, driven by a combination of favorable price mix and higher volumes. By region, we delivered 2% and 1% organic growth in EMEA and North America, respectively. Latin America was up 12% in constant dollars, and Asia Pacific was slightly up. Adjusted EBITDA increased 8% on an organic basis. Margins of 18.7% expanded 120 basis points compared to last year. Throughout 2015, in every quarter, in every region, we delivered positive organic growth and outpaced our end markets. In addition to what I highlighted earlier on Darfresh on Tray and OptiDure, we are seeing increased demand for ready meals and our fluid-based solutions. We have three effective systems operating in three regions around the world and, heading into year-end, equipment sales were strong. This is a strong indication of the strength underlying our Food Care packaging business. Our hygiene business, our direct in hygiene business, our direct food contact chemical solution, designed to improve food safety and extend shelf life, is really gaining traction with our key customers. This quarter, our team in Asia Pacific was awarded a Darfresh Vacuum Skin Packaging, or VSP, contract for red meat, poultry, and seafood with a large supermarket chain. This breakthrough solution increases operational efficiency, extends shelf life, reduces food waste, and differentiates this customer from their competition through brand building. This is the first introduction of Darfresh VSP in this region. Before I highlight our full-year results and 2016 outlook for Food Care, let me briefly provide you with an update on what we're seeing in the North America beef market, which was down approximately 5% in the fourth quarter and also 5% for the full-year 2015. Industry data points suggest that we are at the bottom in North America, and there is evidence that the market is on track to turn positive in the second half of 2016. Going forward, we're well positioned to continue outperforming the capital market in North America as production increases, and we continue to penetrate existing and new customers with our advanced portfolio across all proteins and adjacent markets. For the full year, Food Care net sales declined 11% as reported, but increased 4% on an organic basis. Adjusted EBITDA margins of 20.3% expanded 280 basis points. And as on a reported basis, adjusted EBITDA increased 3%; excluding unfavorable currency and divestitures, adjusted EBITDA increased 18% on an organic basis for the full year. In 2016, we expect Food Care to deliver net sales and adjusted EBITDA growth on an organic basis and margin expansion. We expect volume trends in the second half to be stronger, as we reap the benefits of the beef cycle turning positive in North America. Slide eight highlights the results from our Diversey Care division. Diversey Care net sales on a constant-dollar basis were approximately 3% up in the fourth quarter. We had favorable price mix in every region and volume growth in EMEA, North America, and Asia Pacific. Adjusted EBITDA margins of 11.2% increased 9% on a constant-dollar basis. So across all regions in Diversey Care, even in Latin America where the volume is the most challenging, we have improved the overall quality of the operations. We are investing in disruptive technologies and have reshaped our product portfolio with a keen focus on sustainability, productivity and the integration of chemicals, tooling and machinery. We have focused our sales and marketing efforts on our core vertical markets, including hospitality, healthcare, facility management, food services, and retail. This approach is enabling us to grow our core business and consistently win new customers. In fact, we recently had strategic wins in North America in facilities management, as a result of our focus on total cost of ownership and strength in our solutions offerings. You can see the results of our efforts in the performance of North America and EMEA regions, both of which have delivered constant dollar growth throughout 2015 after years of declining sales. And in the fourth quarter, North America was up 5% and EMEA was up 3% in constant dollars. Asia Pacific, where we have solid footing, continued to have favorable performance and delivered 2.5% constant dollar growth in the fourth quarter. Our pipeline for our Intellibot machines continues to grow and we have over 200 machines operating today in the field. We are integrating the advanced robotics capabilities of the Intellibot into our leading TASKI floor care equipment. I can assure you that we have learned a lot about robotics from that acquisition. We also continue to see strong demand in healthcare for our Accelerated Hydrogen Peroxide or AHP technology with products like Oxivir. For the full year, Diversey Care net sales increased 3% in constant dollars, also on an as-reported basis, it declined 8%. This division was hit the hardest by currency devaluations. We continued our commitment to support our core growth and Change the Game initiatives by making substantial targeted investments in sales, marketing and R&D, including the acquisition of Intellibot. Even with these increased investments, we still delivered 10% adjusted EBITDA growth in constant dollars and margins of 11.6%. And going forward in 2016, we expect favorable sales and EBITDA trends in Diversey Care on a constant-dollar basis and margin expansion. We will continue to focus on profitable growth opportunities and manage our cost structure to help offset currency headwinds. Let me now turn to Product Care results on slide nine. Product Care net sales declined 3% in constant dollars in the quarter and 1% for the full year. As you know, rationalization efforts have been ongoing over the last 12 months. Our efforts in Latin America for the most parts are behind us and we look forward to rebuilding our business in that region. In North America, effective in January of this year, we divested another $15 million of a product line. In EMEA, our rationalization efforts are still underway and are expected to be completed in the first half of 2016. If you look at our Product Care business on a global basis, excluding rationalization, it is performing well ahead of our expectations. Throughout 2015, we experienced double-digit growth in e-Commerce and third-party logistics and significantly improved our profitability in general packaging. We changed leadership in both Asia Pacific and Latin America and are already seeing the benefits of our new go-to-market approach. It is worth noting that across all of our end markets, including the industrial segment, which has been relatively soft, we had strong equipment placements heading into year-end. This is an indication of future growth and we look forward to capturing that opportunity as the year progresses. Our adjusted EBITDA performance really tells the 2015 story for Product Care. In the quarter, Product Care delivered margins of 21.5%, a 360 basis points improvement compared to last year. For the full year, adjusted EBITDA margin expanded 310 basis points to nearly 21%. And on a constant-dollar basis, adjusted EBITDA increased 16% in the quarter and for the full year. While some of these growth and margin expansion is the result of lower input cost, more of the improvement came from our rationalization efforts, pricing disciplines and an increasing mix of global performance packaging solutions. In 2016, we expect volume growth to improve throughout the year, as we complete our rationalization efforts and continue increasing our penetration into the rapidly growing fulfillment market. For adjusted EBITDA, we expect continued constant dollar growth and margin expansion. And now, let me pass the call back to Carol to review our net sales and EBITDA bridges, cash flow, and outlook. Carol?
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Thank you, Jerome. Turning to slide 10 and 11; let me walk you through out net sales bridge and adjusted EBITDA performance for the quarter and for the year. Starting with net sales on slide 10, we delivered $1.75 billion in sales in the fourth quarter and $7 billion for the year. On an organic basis, sales increased approximately 2% in the quarter and 3% for the full year. Sales growth was attributable to favorable price mix, which was 1.6% or $32 million in the quarter and 2.3% or $176 million for the full year. Volume was essentially unchanged in both periods. Unfavorable currency translation was $190 million in the quarter and $764 million for the full year. In 2015, approximately 18% of our total sales were exposed to the euro. In the quarter and for the full year, divestitures impacted net sales $64 million and $172 million respectively. Turning to slide 11, for the quarter, adjusted EBITDA of $282 million or 16.1% of net sales was essentially unchanged on an as-reported basis compared to our performance in the fourth quarter of 2014. Unfavorable currency translation was $30 million, and the impact from divestitures was $11 million. On an organic basis, adjusted EBITDA increased 15%. This increase was largely due to favorable mix and price cost spread of $40 million, and restructuring savings of $16 million. We are pleased to have delivered 190 basis point improvement in adjusted gross margin and 180 basis point improvement in adjusted EBITDA margin compared to last year. For the full year, adjusted EBITDA increased 5% year-over-year to $1.17 billion or 16.7% of net sales. Unfavorable currency was $126 million and the impact from divestitures was a negative $33 million. On an organic basis, adjusted EBITDA increased 19%. This increase was primarily due to favorable mix and price cost spread of $185 million, as well as restructuring savings of $60 million. The increase in SG&A and other expenses of $44 million was primarily related to higher, non-material inflation costs. We delivered a 230 basis point improvement in adjusted EBITDA margin compared to last year. For the full year, medical and corporate expenses, which is categorized as other in our adjusted EBITDA financial tables, was a net expense of approximately $69 million as compared to a net expense of $90 million in 2014. The year-over-year improvement was driven by the strong performance in our medical business. Adjusted earnings per share was $0.76 in the fourth quarter and $2.59 for the full-year 2015. Currency negatively impacted adjusted EPS by $0.11 for the quarter and $0.38 for the year. Unfavorable FX was offset by higher earnings from operations, lower interest expense, a lower adjusted tax rate and share repurchases. The adjusted tax rate for Q4 2015 was 8% as compared with 9% for Q4 2014. For the full-year, our adjusted tax rate was 20% as compared with 22% for 2014, contributing approximately $0.06 to the year-over-year EPS improvement. In the fourth quarter of 2015, we recorded foreign tax credits that previously were considered not recognizable. In 2015, we repurchased 16.1 million shares for a total value of $802 million. For the full-year, the average diluted shares outstanding were 207 million compared to 214 million shares in the same period a year ago. Our share buyback had a favorable impact of $0.09 on 2015 adjusted EPS, as compared to 2014. We have $884 million remaining on our share repurchase program. We ended the year towards the low end of our target leverage ratio of 3.5 times to 4 times. We believe this leverage range is optimal given our solid and recurring free cash flow. Turning to slide 12; free cash flow was a source of $595 million in 2015, excluding the tax refund associated with the settlement agreement. Cash interest payments were $224 million and CapEx was $184 million. Working capital and other assets and liabilities were a source of $50 million in 2015. We have made meaningful progress over the last few years achieving our operating working capital target of 15% of net sales based on a 13-month average. This is a 200 basis point improvement as compared to the same period a year ago. And as Jerome noted, there is still opportunity for us to improve inventory management. Turning to slide 13; we present our outlook for 2016. We expect net sales to be approximately $6.8 billion, a 3.5% increase on an organic basis. On an as reported basis, unfavorable currency is expected to be $400 million. We anticipate approximately $250 million of this unfavorable currency in the first half of the year. The impact from the Food Care divestitures on 2016 net sales is $102 million, of which $67 million impacts the first quarter. Based on these assumptions, we anticipate net sales in the first quarter to be approximately $1.6 billion. Adjusted EBITDA for the full-year 2016 is expected to be in the range of approximately $1.17 billion to $1.19 billion, an increase of 7% to 9% on an organic basis. On an as reported basis, we are estimating FX to have a negative impact on adjusted EBITDA of approximately $65 million. We anticipate nearly $40 million of this unfavorable FX in the first half of the year. The impact from the Food Care divestitures on 2016 EBITDA is $21 million, of which $14 million impacts the first quarter. Keep in mind that we will have our toughest year-over-year comparison for Food Care in the first quarter 2016 due to currency headwinds, the impact from the divestitures, and formula pricing. On an organic basis, we anticipate adjusted EBITDA to be down slightly. We expect sequential improvement for the remainder of the year. For the full year, we expect Food Care to deliver organic EBITDA growth and margin expansion. Our medical and corporate expenses are expected to be a net expense of $100 million for the full-year 2016, as we continue to invest in our next-generation technologies, including sensing, data analytics, and our digital platform, and make further progress on our global ERP rollout. Our adjusted EBITDA in Q1 is estimated to be approximately $245 million. We expect EBITDA to improve sequentially for the remainder of the year. Our interest expense for 2016 is estimated at $225 million. Depreciation and amortization is forecast to be approximately $285 million. Adjusted EPS is expected to be in the range of $2.52 to $2.60. The adjusted EPS unfavorable impact from currency is expected to be approximately $0.18. Our adjusted EPS outlook for 2016 is based on an adjusted tax rate of 24%. Our free cash flow in 2016 is estimated to be $550 million. CapEx is expected to be $275 million, which is in line with the estimate we provided at our Analyst Day in June. Included in the $275 million is approximately $100 million related to the investment we are making in our Charlotte campus, and $40 million is associated with other capital restructuring activities. Excluding these items, maintenance and growth CapEx combined is estimated at $135 million. Cash restructuring payments are expected to be $110 million. We expect to realize restructuring savings of approximately $30 million in 2016, and we'll have higher savings in 2017. Cash interest payments are expected to be $220 million, and cash tax payments are estimated at $125 million. We anticipate working capital to be a source of cash of approximately $100 million. In closing, we are confident that we are investing in the right markets and in the right regions, where there are growth opportunities for Sealed Air. We are not ignoring the global environment around us, and we will continue to implement continuous improvement processes to ensure we realize further operational efficiencies. Our focus on new product adoption and investment in disruptive technologies will drive sustainable and profitable growth in the years to come. Before we open the call to questions, I would like to remind you that our first quarter 2016 earnings call is tentatively scheduled for Thursday, April 28, at 10 AM. With that, operator, can you please open the call for questions?
Operator: Your first question comes from the line of Scott Gaffner from Barclays. Please proceed.
Scott Louis Gaffner - Barclays Capital, Inc.: Thanks. Good morning.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Good morning, Scott.
Jerome A. Peribere - President and Chief Executive Officer: Good morning, Scott.
Scott Louis Gaffner - Barclays Capital, Inc.: Just first question around Latin America, because I think in the quarter, if I looked at the slides correctly, it was up 10% organically in the quarter. Can you talk a little bit about that? Are you seeing anything in the economic environment that makes you concerned that that growth rate is not sustainable?
Jerome A. Peribere - President and Chief Executive Officer: Well, Latin America has been a difficult continent throughout 2015, especially as devaluations in the second half have increased. Everybody knows the situation in Brazil, and we have dramatically suffered from our positions in Venezuela, but that's what it is. Having said that, we have some very strong bright spots, especially in Argentina, which has been one of the countries where we've been growing the most in local currency and in dollars in 2015. So, in the end, the environment is what it is. We have been slightly impacted in our Food Care business. We have restructured our product business – Product Care business, so we – the comparables are not easy to make here, because we have gotten rid of some very low-quality business. And in Diversey Care, we have had some spotty difficulties, including the countries I have mentioned, especially Venezuela and so. But altogether, we are fairly confident that we have hit the trough in these countries. In Food Care, we believe that in Latin America, outperformed the market despite the volume declines. There's a very strong interest in our new products introduction in countries like Argentina, Mexico and Brazil for example.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please.
Operator: Your next question comes from Ghansham Panjabi from Baird. Please proceed.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Good morning, and first off, congrats on the strong finish to 2015.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Thank you.
Jerome A. Peribere - President and Chief Executive Officer: Thank you, Ghansham. Good morning.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Yeah. I guess my question relates to the 2016 organic growth rate of 3.5%, which is clearly an acceleration over the second half 2015 run rate, even with the macro presumably more challenging. I guess what gives you more confidence on that type of outlook? And how does that break out between volume and price mix? Thanks.
Jerome A. Peribere - President and Chief Executive Officer: So, it's interesting, it seems that everybody is rattled about (35:52) the economies. I would say the financial markets are pretty (36:00), one week it's oil, another week it's China, another week it's the banks, et cetera. I am not that negative. We are – we had growth of – when apples-to-apples, we had 2.8% growth in 2015. We have an objective of growing 3.5% plus and very frankly, I am very pleased with what I'm seeing with our new products and I could go and take them division-by-division. So, we have our Food Care business, which is going to be helped in the second half of the year by the massive cattle situation that we have talked in details about during our Investor Day saying that it was probably going to be coming the second half of 2016. And we definitely have now more confidence that it is clearly coming at that time. We have lots of very new products. We talked a lot about Darfresh on Tray. We talked a lot about OptiDure. We are – we have given you projections, 2018 projections for those type of products during our Investor Day. We are ahead of our schedule. We're very pleased. On Diversey Care, we're making very steady progress, substantial customer wins, very strong value proposition. Our Intellibot business is going well, our TASKI business is going well. Our positioning is very strong. Our Product Care has suffered from top-line growth in 2015. As we said earlier, we've divested from a little business in North America effective January 1. We are likely to conclude something else in Europe, which is not a quality business later in the first half. But our value proposition, the acquisition of B+, the launch of our FloWrap solutions, our new offerings are making me really confident. So, it's been a long answer. But very frankly, between 2.8% and 3.5%, given what we have is something that we should really be able to do. And this is in an economy which is not good, but when has it been good in the last three years?
Carol P. Lowe - Senior Vice President and Chief Financial Officer: And, Ghansham, just specific to your question about volume versus price mix. It's more heavily weighted with more than half driven by volume.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please.
Operator: Your next question comes from George Staphos from Bank of America. Please proceed.
George Leon Staphos - Bank of America Merrill Lynch: Hi, everyone. Good morning. Congratulations on the year and thanks for all the details. I had a point of clarification question, and then I wanted to touch on organic volumes for the year. So Carol, I just want to make sure I heard you right. You are forecasting the EBITDA for the quarter coming in – did I hear correctly, at $245 million, with food being down somewhat? And I guess by implication, the other segments being up? And then just comparatively, what was the prior year if I strip out divestitures and the like?
Carol P. Lowe - Senior Vice President and Chief Financial Officer: So, George, on the – the $245 million is correct for the Q1 EBITDA forecast and driven mainly the decline by Food Care. So, yes, the implication is the other two would be up. And then on the divestitures, I guess – Lori, I'm trying to (40:00).
Jerome A. Peribere - President and Chief Executive Officer: What we had for 2016, what we have is $18 million of – $18 million to $20 million in currency, and we've got about $18 million in divestitures.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Right. George, in Q1 of last year, it included – it has a North America and European trade divesture of $67 million. And on the bottom line, that impact is about $14 million in EBITDA. So $67 million on the top line and $14 million on the bottom line for Food Care. He had another question.
Lori C. Chaitman - Vice President-Investor Relations: Operator, is George still available? I think he had another question.
Operator: George is not available.
Jerome A. Peribere - President and Chief Executive Officer: Okay.
Lori C. Chaitman - Vice President-Investor Relations: Okay. So, if George comes back in the queue, please let him in. Can we go to next question please?
Operator: Your next question comes from Adam Josephson from KeyBanc. Please proceed.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Thanks. Good morning, everyone. Carol, just on the FX assumptions, can you help us with what currency rates you are assuming for the full year? And how much different your sales and EBITDA guidance would be if you were taking today's rates as opposed to perhaps year-end rates?
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Okay. So, with respect to the assumptions we made, euro, we used $1.05. We recognized that's less than where the euro's at today, but there's still a lot of volatility out there. And we feel like that's a good prudent exchange rate for us to utilize with our guidance. We referenced that about 18% of our revenues were based in euro for 2015, so the math can be calculated there. For the ruble, we used $80.5; the Brazilian real, $4.33; Australian dollar, $1.44; the Great British pound, $1.45; and the Canadian dollar, $1.30.
Lori C. Chaitman - Vice President-Investor Relations: Operator, can you go to the next question, please?
Operator: Your next question comes from Anthony Pettinari from Citi. Please proceed.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Good morning. On free cash flow, getting beyond the CapEx bump in 2016, is that $200 million CapEx guidance for 2017 that you gave at the Analyst Day and I think that was sort of your normalized range beyond 2017. Is that still intact or is there anything – whether it's divestitures or maybe being a little bit ahead of expectations on Change the Game that would change that kind of $200 million normalized range?
Jerome A. Peribere - President and Chief Executive Officer: So let me just make a general comment. You have pointed, Anthony, exactly the right thing, which is, are we ahead or are we late compared to our forecast given at Investor Day. And outside of currency, we're ahead, and we stand – what did we say? We said 4% to 5% organic growth on the top line and we said that it was not going to be linear. And what did we just say? We said 3.5% for 2016 and we confirmed that it's not going to be linear. It's going to be improving over time, thanks to the ramp-up of our solutions which are really getting market traction. Then we said 7% to 8% growth of EBITDA over time. Over that period 2015 to 2018, with the goal of reaching EBITDA margins of 18% in 2018 and 20% in 2020. You'll remember that I also said that our goal was to align the year with the EBITDA percentage, well, thanks to – in 2015, we're ahead and we plan to continue to be ahead. So, all together, we're comfortable with the EBITDA growth guideline that we have given for that – in July – or in June of last year for 2015 to 2018. And definitely with the growth targets, we believe that we are ahead. And on your point on capital, Carol can comment. But, yes, indeed we're also confident with the guidance that we have given over the next three years for free cash flow as a result – including also as a result of the capital where we said that it was going to be $180 million to $200 million, if I remember.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Yeah. So, $180 million to $220 million, so averaging out about $200 million and we still feel like that's the right number given growth, investment opportunities that we're very confident we'll have those investments that will continue to drive Change the Game.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please?
Operator: Your next question comes from George Staphos. Please proceed.
Lori C. Chaitman - Vice President-Investor Relations: George?
Operator: George, please try to make sure your phone is not on mute.
Lori C. Chaitman - Vice President-Investor Relations: Okay. You want to move to the next question, operator, please? Thank you.
Operator: Okay. Your next question comes from Chip Dillon from Vertical Research Partners. Please proceed.
Chip A. Dillon - Vertical Research Partners LLC: Yes and good morning. Question has to do with the – just basically the free cash flow guidance. And I just wanted to really zero in on the tax situation. You mentioned, Carol, a tax rate of 24% and I wondered how much of that would be cash taxes in the sense that you might still have some carryover tax benefits from the settlement and maybe some other items. In other words, is that going to be all cash or do you think it'll be some benefits carryover that will reduce the cash tax rate?
Carol P. Lowe - Senior Vice President and Chief Financial Officer: So, we – actually what we communicated, Chip, on Analyst Day is that our cash taxes will be going up as we move forward because we have utilized a lot of the benefits. So, our guidance at $125 million will be moving to $180 million is our estimate for 2018. So, we expect that to continue to increase as we go forward.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please.
Operator: Your next question comes from the line of Chris Manuel from Wells Fargo. Please proceed.
Gabe S. Hajde - Wells Fargo Securities LLC: Good morning. This is Gabe Hajde, actually, sitting in for Chris. Wanted to touch on the raw material environment, sort of what your expectations are heading into the year, what's baked into guidance, and if there's any sort of benefit price-cost spread that you are looking at, that's baked into your number?
Jerome A. Peribere - President and Chief Executive Officer: So, are you saying long-term, or you – could you rephrase the question? Are you referring about the long-term environment, or just basically 2016?
Gabe S. Hajde - Wells Fargo Securities LLC: Well, Jerome, I mean, the more near-term question would be, what is assumed in your guidance? And given sort of what we're seeing with oil, where it is today, and increased capacity in polyethylene, is your long-term expectation that it could stay down here, in terms of resin, regardless of what happens with oil?
Jerome A. Peribere - President and Chief Executive Officer: Okay. So, we have baked in our forecast weak polyethylene prices, olefins prices, and these are already in our forecast. We're very close to those markets and, so far, they are developing as we thought they would be developing. So, we don't believe that there is much upside compared to what we have forecasted at this point in time. With regards to the overall environment, while we are on February 10, have been, year-to-date, to nine countries around the world. And my job is to have one eye on the microscope and one eye on the telescope. And I can assure you that I'm very close to what's going on. And I went to Asia, I went to Europe, traveled in North America, and I am seeing positive momentum altogether. So this painting things in black and white globally is – might be fashionable, but I just don't see it this way. I'm seeing that we have customers, and we have momentum with customers, and we have new customers who are interested in what we're doing, who want to eliminate food waste, who want to eliminate and optimize packaging, et cetera, who want to improve their food safety, who want to see productivity improvements in their operations in the Diversey Care, and they're looking at us as having the ability, the capability, the knowledge, the results, to bring them value-add decisions. And I must say, I'm pretty optimistic.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please.
Operator: Your next question comes from Mark Wilde from BMA (sic) [BMO] (49:41) Capital Markets. Please proceed.
Mark William Wilde - BMO Capital Markets (United States): That's BMO, thanks. Good morning, Carol. Good morning, Jerome.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: Good morning.
Jerome A. Peribere - President and Chief Executive Officer: Good morning, Mark.
Mark William Wilde - BMO Capital Markets (United States): I wondered if you could just talk about sort of uses of cash in 2016. The stock is quite a bit cheaper now than your average price last year but, at the same time, probably acquisition multiples on businesses you might be interested in are probably coming down. So, just some thoughts on that.
Carol P. Lowe - Senior Vice President and Chief Financial Officer: So Mark, we've stated many times that, with respect to acquisitions, we do not have a huge focus to go out and acquire, something other than what could be considered a bolt-on or an added technology benefit for the company. And in fact, over the three-year planning horizon that we communicated on Analyst Day, we said we were estimating a total of approximately $400 million over that time period. Our acquisitions to-date have continued to be things that bring technology to the company, or expand market penetration capabilities with existing customers, and can help us win new customers. So that – our focus there won't change. Jerome has been very vocal about, with his experience, a lot of acquisitions just aren't successful and we're going to remain focused where we have core capabilities and we know we can bring successful financial results to our investors. With respect to looking at share repurchase, we were very active in 2015. We're confident in the price that we paid, that it's a good value over the long term. We work with the board, providing them various financial models around intrinsic value, Monte Carlo simulations based on our long-term forecasts. And while the price is extremely attractive right now, we'll continue to work with the board on what they think are the right actions for us to move forward with the remaining value of our share repurchase program. And we also will manage within that 3.5 times to 4 times leverage.
Jerome A. Peribere - President and Chief Executive Officer: So, let me add a little bit of color in here. We – my view on acquisition hasn't changed. There is a time for making large acquisitions, and there's a time for staying focused. 2016 is still, for us, the time to remain focused. We have a lot of value to capture through our ongoing – in 2016, in 2017 to our Get Fit programs, a lot. And we have a tremendous ramp-up on our innovation and of our Change the Game. Let's separate those two. Change the Game are highly disruptive innovations, they're not all of our innovations. And we are continuing to do small acquisitions, and those are technology targeted and we are very pleased – very, very pleased – with every single of those that we have done, they are very small companies, generally speaking they're start-ups, but we have done that. Are we going to do bigger ones in the years to come? Yeah, we probably will. Having said that, you want to do those when you have basically exhausted the bulk of your opportunity – organic opportunity – and we have so many opportunities, on what we are improving and doing, that we should not be distracted.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question please.
Operator: Your next question comes from the line of Philip Ng from Jefferies. Please proceed.
Philip Ng - Jefferies LLC: Hey. Good morning, guys. The industrial economy is obviously quite weak. It's impressive you expect Product Care volumes to be up this year. Can you kind of parse out the opportunities you are seeing that's driving the growth, whether it's e-commerce or dim weight, and how trends are shaking for just the broader market? Thanks.
Jerome A. Peribere - President and Chief Executive Officer: Okay. So, the industrial – as you seem to focus here on the Product Care, it is correct that industrial markets, and we have noted that in our packaging sales for industry and on exports for out of the year, we have noted softness. This is correct. You mentioned e-commerce. We have had double-digit growth. We continue to have double-digit growth and we're focusing a lot on dim-weight and on solutions, which can reduce damage and improve the volume of the boxes, et cetera. This is why we have acquired B+. This is why we have developed and launched our FloWrap technologies. They're having huge interest. We're working with integrators; we're working with lots of 3PLs and fulfillment companies and we are very excited by the discussions that we're having. The pipeline is absolutely tremendous. And there's not one company we go to who is not impressed with the way we approach the market because we can help them reduce dim weight or dimension in the packaging, and reduce the damage. And when you look at the cash cost of the packaging operation between the cost of the packaging, the cost of the fulfillment operation, which is fulfillment velocity, which is the manpower to pack, between transportation cost and between damage, out of those four cash costs, the smallest of the cost is the cost of the packaging. And therefore, you cannot isolate the cost of the packaging from the other three because this is how we can add the most value to our customers and extract, by the way, the most value to ourselves also. And we have a very strong equipment placement story here that we – which has been ramping up over the whole year of last year, and we are very optimistic that this is a very good time for 2016.
Lori C. Chaitman - Vice President-Investor Relations: Operator, I think we have time for one more question please.
Operator: Your next question comes from Rosemarie Morbelli from Gabelli & Company. Please proceed.
Rosemarie Jeanne Morbelli - Gabelli & Company: Thank you. Good morning, everyone, and congratulations. Jerome, I was wondering if you could give us a little (56:29) on the food side and compare what you're expecting in terms of growth rate in North America versus a decline in Australia. Have those kind of met one another and decline in Australia will be lower than the increase in North America?
Jerome A. Peribere - President and Chief Executive Officer: Okay. Well, there are cycles, and you pointed to that cycle. And yes, the Australian beef cycle, which was growing double-digits in the first half in Food Care, was growing at a lower pace in the fourth quarter. Having said that, now, we believe that the Food Care North America upside is going to be stronger than the Food Care situation in Brazil. And then once again, you have cattle, but you also have pork, chicken, et cetera, and we are fairly positive for the other parts of the world with regards to pork production and chicken production. In the U.S., we believe that in the second half, given the fact that you have a lot of cattle which moved to feedlots, instead of all the signs out there that it's going to be a stronger year for protein. So that's on the market side. We have grown in a negative environment. We have grown in the U.S. in a minus 5% capital environment in 2015 and this is by adding solutions, value add solutions to our customers and therefore, we're very optimistic about what's going to happen in the second half of 2016.
Lori C. Chaitman - Vice President-Investor Relations: Operator, that's all we have time for this morning. Thank you, everyone for joining. Operator, I pass the call back to you.